Silvia Ruiz: Good afternoon everybody. This is Silvia Ruiz speaking and I would like to welcome you to Ferrovial's Conference Call to Discuss the Financial Results for the Nine Months of 2023. Just as a reminder, both the results report and presentation are available to you on our website. I’m joined here today by Ernesto López Mozo, our CFO and by the CFOs of the different business divisions. If you have any questions, you may ask them through the forum included in the webcast. During the Q&A session at the end of this call, we will be reading out your questions and who they are from. With this, I will hand over to Ernesto. Ernesto, the floor is yours.
Ernesto López Mozo: Thanks Silvia. And welcome everybody to the first nine months of 2023 results from Ferrovial. Well, really, this was another strong quarter. I mean, our infrastructure assets performed really well, starting with the 407 ETR, we had distributions in the first nine months were higher than last year and also another one was announced post closing of the quarter. And this was done on the back of improved traffic performance. The Managed Lanes as well posted a strong revenue growth and additional dividends from 35 West. In airports with a strong summer performance and improvement along the year, Heathrow was outstanding with September already above pre-pandemic levels. Construction, I mean with a profitable quarter, the full nine months are affected by the first half year results with impact from completion of large projects in the U.S. In terms of net cash position, we closed the first nine months with a net cash of €635 million infrastructure level. And this cash evolution is driven by dividends from infrastructure projects close to €400 million and in particular, the first one from NTE35 West. The main cash outflow was the repayment of the – the buyback of the hybrid bond that implied a €511 million outflow. And then we invested in equity and also in shareholder remuneration €338 million. Of course, these months were full of corporate events with the listing in Euronext Amsterdam. We are also progressing with the U.S. listing that of course, depends on SEC approval. And we announced the second scrape dividend expected to be paid at the end of this month. From an ESG perspective, probably I would like to highlight the issuance of a sustainability-linked bond our first one €500 million. Okay, we’ll move to the next slide. We start with the performance, the operating performance from toll roads. And here, we see the growth both in revenues and EBITDA. Really, the U.S. assets are contributing to these consolidated numbers, 83% of revenues and 93% of EBITDA. Segment 3C that are opened to traffic at the end of June implies 66% additional length to the NTE35 West. It meant €81 million investment our part and it has a concession term that ends in 2061. Dividends from the Managed Lanes, the main one was this 35 West that 100% of shareholder base was US$435 million. But also we got regular dividends from NTE, LBJ for 100 shareholder base it was US$123 million. Also in NTE, I mean, the success of performance means the ultimate configuration has been brought forward. And here, we have – we're going to be building additional lanes, a Managed Lane in Segment 2 and a General Purpose Lane in Segment 1. I mean, this additional capacity that was part of the concession, as I said, was brought forward, is much needed in a corridor that has more growth than expected. That is important to keep the appeal of the corridor for the long-term. This ultimate configuration has been financed fully with debt. In August, we issued US$414 million of private activity bonds and of course, this construction will start soon and traffic will start to be affected since the start of 2024 next year. If we move on to the next slide, please. Here is the 407 ETR dividends, as I mentioned in the introduction, are above the 2022 numbers. And of course, you see that the operational performance has an important increase vis-à-vis 2022 traffic in terms of VKTs is growing close to 17%, but also revenues and EBITDA are close to 16% growth. Here, we have the revenue per trip fairly stable with a little increase on average triplet. In terms of dividends, we do not only have the increase reflected in these numbers of 300 million versus 200 million. So C$100 million increase but also there was an announcement of an additional C$650 million dividend. When you see the traffic performance, you see that we keep improving. We are closing the quarter close to a 4% drop vis-à-vis 2019 and 9.4% increase versus 2022. Clearly, we're seeing increased mobility and commuting patterns and also we've seen construction activities in Highway 401. I mean, this is usually done in terms of maintenance of the main alternative. If we move to the next slide, here we touch on the long-term drivers that we like to have a look at. And well, the mobility that you see is pretty much shared in comparable terms in terms of evolution between the main alternatives, the 407 and also urban transit. So you see mobility improving across the board. Toronto really is important, it keeps growing in terms of population at a high rate. It's the first of Canada's big three cities to hit a growth rate of 3% in terms of population. And well, the Ontario population grew slightly above 3%. And you see that in general, Canada is also growing well, and it was the highest growth rate recorded for a 12 month period since 1957. When we look into the return to the office statistics, we see that keeps improving. Of course, the 54% is an average of peak days and low days, right? But clearly the trend is more presence in the office. If we moved on to the next one, please. Here we are looking at the Managed Lanes in Dallas Fort Worth and we see that all the three of them grew revenue per transaction, the average revenue per transaction above inflation. That is how the Soft Cap evolves every year, right. So with inflation of 6.5%, you had double-digit in two of them and an 8.4% increase in NTE. That has driven this growth in revenues and EBITDA, as I said, across the board with very solid EBITDA margins. I mean, NTE, clearly there's a strong performance ongoing with frequent mandatory modes. LBJ is still impacted by construction works in the area. The east entry point of that road, well, an NTE 35 West is showing a positive performance in traffic independent of the additional segment we see, right. I mean, it would have grown at 5.6%. But if we consider the increase in traffic from that segment, that is a 14.4% increase, NTE and LBJ also grew traffic nicely. So we move on please to the next slide. We first look at the I-77 that keeps bidding our most optimistic expectations, transactions growing close to 20%, revenues more than 56% and EBITDA 87%. So it's clearly growing more than that is a fantastic asset where you see the revenue per transaction is growing at 31.8%. And on the right, we have the I-66 that is also ramping up. I mean, you have the quarterly revenue per transaction growing up and the third quarter of the year had a 43.6% increase versus the first quarter of 2023. And traffic also going up close to 30% the third quarter versus the first quarter quarterly transaction so, as we like to say, cautiously optimistic, but clearly a very strong ramp up. Moving into Airports, we look at Heathrow. Well, Heathrow results were released last week. So probably you are aware of all these numbers, but if we just stop on some of them, I think that they are remarkable. I mean, we entered September above 2019 levels, but really it has been trading at those 2019 levels pretty close throughout the summer. Clearly demand is there and Heathrow has upgraded the expected traffic for the end of the year to 79.3 million passengers. But it’s not only leisure – inbound leisure that these experienced in a notable increase. I think that all the different segments are increasing. And it’s good to see business travel reaching 27% of total traffic and the pre-pandemic was 32%. So as I mentioned, all sectors and nationalities are traveling out or through Heathrow. We look into the CMA appeal that finally came to a conclusion. The final determination didn’t move much the needle. I mean they corrected some things like the AK Factor, cost of debt and passenger forecast. So this I mean Heathrow expectation is that it shouldn’t have a meaningful impact. And the message Heathrow sent is that it’s time to move on. It’s disappointed, but it’s time to move on there with the operation of the airport. If we move to the next slide, please. We see the remainder of the portfolio. All of it is growing. I mean, AGS is growing. Not as much as Heathrow compared to 2019 levels, but it’s still a very solid performance and looking for airlines to also come back or sign new flights in the area, I mean, making up for some of the airlines that left operations. If we look into Dalaman, that’s a much better in terms of comparison to 2019 and even 2022. So bidding in both years, it’s close to 4% above 2019 levels and with a good showing of revenues and EBITDA. Last but not least is a New Terminal One that keeps progressing and the project remains on budget and on schedule. I mean there was a reaffirmation of the ratings that were done at financial close and then negotiations with international carriers are ongoing. We had the agreement with Korean Airlines, but I mean that negotiation with airlines is in good shape. We have already contributed close to €200 million of the total equity. Remember that this project has investment concentrated in 2023, 2024 and 2025, 2024 being the peak of investment. Moving on to Construction, as I mentioned, we had a profitable third quarter. I mean Budimex keeps having a strong showing. Webber keeps EBIT margins stable. And for real construction, I mean the first six months were affected by completion works in some large projects. Still it’s finalizing some of them, but I mean the contribution is more in line with what we saw in a similar quarter last year. Well, order book keeps a strong showing and you have the breakdown by geography on the slide. If we move on to the discussion of net cash, well, remember that in this quarterly information we have the operational update. We don’t have other lines of results that will come at year-end. So in the net cash evolution, we have the different blocks here and I would like to again underscore the dividends from projects block. Of course, we have equity investments and investments in other businesses and this is basically to help self performance in construction that helps in a stable environment. Then we have €110 million of shareholder remuneration and as I mentioned in the introduction, the main cost of cash outflow is the repayment of the Hybrid Bond. In other financing cash flow, the main component here is the positive carry we have with the interest in the cash being higher than the interest we pay in debt. Okay. So if we move on to the last slide, clearly the portfolio is performing strongly. We have the increasing dividends helping the cash generation here and the pricing flexibility is providing to be very valuable in these assets. We are still looking to a very interesting investment pipeline ahead, in particular in the U.S. We are progressing with the U.S. listing application and of course, advancing on the decarbonization roadmap. Okay. So thanks for bearing with us for the presentation. And now, we open the floor to the Q&A session. Thank you.
A - Silvia Ruiz: Thank you very much, Ernesto. The Q&A session will begin shortly. Please stay tuned. Okay. So starting with the first set of questions from Nicolo Pessina from Mediobanca. First question is 407 ETR speak traffic strong enough to allow for a tariff increase in 2024?
Jose Velao: Thank you, Nicolo. This is Jose Velao from CFO of Cintra. You are right. The peak hours traffic is strong and is growing during this nine months. But at this moment of time, we have not any update about tolling rate increase. We are pointing in the right direction is what we can say.
Silvia Ruiz: Next question from Nicolo. Can you provide an update on the tender for the SR400 project?
Jose Velao: The tender is progressing well. We are working hard just to submit our proposal in the coming months. So everything is working under expectation.
Silvia Ruiz: Last question from Nicolo. Would it be fair to expect a sizable increase of the dividend to Ferrovial shareholders in 2024 considering the increase of dividends received from the underlying assets?
Ernesto López Mozo: Thanks, Nicolo. Well, you’re right to point out the strong showing of all the infrastructure assets under dividends. I mean, the Board will have to make a call on this, of course, taking also into account that we are facing quite interesting investments ahead. So it’s not the time to discuss that, but I mean we’re very happy with the performance of the assets as you mentioned.
Silvia Ruiz: Next set of questions coming from Filipe Leite from CaixaBank. First question, dual listing process. Is the process to be listed in the U.S. stock market delayed? Why and when do you expect to have the process completed?
Ernesto López Mozo: Okay. Well, really the U.S. store market listing we are running as fast as possible. Of course, it’s the prerogative of the SEC, so we'll have to see how the process evolves. So I don't think it's delayed, it just takes the time it takes. Okay, so the most likely outcome now could be a first quarter listing, but as I said, is the SEC prerogative?
Silvia Ruiz: Next question from Filipe. On 407 ETR, until when should the 401 be impacted by expansion construction activity?
Jose Velao: Hi, Filipe. This is Jose Velao from Cintra again. The 401 construction works is a normal course of business. It's part of the plans on the NTO that is published and in the case of the current construction works effect to the Cintra section of the 401. We expect it to continue till 2025.
Silvia Ruiz: Next set of questions coming from Robert Joynson from BNP. First question, with the run rate of 407 ETR workday traffic around 8% – 10% below the 2019 baseline during May September. To what extent would potential toll increases in 2024 be dependent on further traffic improvement?
Jose Velao: Hi Robert, as I said before, we are in the right direction in terms of traffic performance. The traffic performance that we're seeing right now in this state month is above our expectation, but we cannot – any update about this toll increase. So we'll see in the future when it makes economic sense.
Silvia Ruiz: Next question from Robert. With COVID restrictions in Ontario ending almost 18 months ago, is the 407 ETR under any pressure from the NTO to end the 2021 first Mayor Agreement.
Jose Velao: Hi Robert. Again, there's a fluent communication between the concession and NTO, but this is not one of the topics that they are treating. They have a lot of things to speak about, this not on the table.
Silvia Ruiz: Last question from Robert. When the U.S. listing is completed, is for real committed to maintain a listing in Madrid.
Ernesto López Mozo: Hi, Robert, Ernesto here. Well, more than using the word commitment, I think it makes sense to maintain the listing in Madrid for European funds and retail investors alike, right? So yes, it would make sense to keep the listing in Madrid.
Silvia Ruiz: Next set of questions coming from Fernando Lafuente from Alantra. First question. Strong quarter in construction with EBITDA margin of 3.7% versus 1.1% in the second quarter and 2.9% in the first quarter. What are the reasons for the improvement? Is it sustainable in the forwarded and onwards? 
Iñaki Garcia-Bilbao: Thank you, Fernando, for the question. This is Iñaki Garcia from Construction. Yes, this is basically that Budimex and Webber are keeping the same trend of profitability that we saw in previous quarters. And the result of the rest of the business of Ferrovial Construction that was hugely impact by the provision of losses in the U.S. projects finishing this year was mainly accounted in second quarter or in the first half of the year. In terms of sustainable for the fourth quarter, we expect the same trend in Webber and Budimex and we think that we have accounted for all the losses in these ending projects in the U.S. Thank you.
Silvia Ruiz: Next question from Fernando. What is the expectation of dividends from concessions in 2023?
Ernesto López Mozo: Hi, Fernando, Ernesto here. We don't provide that kind of information. I mean, there's very strong performance. We don't provide this short term guidance. Sorry, thanks.
Silvia Ruiz: Next question from Luis Prieto from Kepler Cheuvreux. Any hints you could provide us to understand a bit better the potential stream of Schedule 22 payments we should see over the short or medium-term?
Ernesto López Mozo: Sorry, I had a problem with my computer, Luis. I can provide you some hints about how it's working. I think it's part of the contract as you know. We have – depends on the traffic on peak hours and the threshold, just to calculate the amount of Schedule 22 payments. But as you know, we don't need to reach because we repeat in previous calls, we don't need to reach 2019 traffic levels to increase toll rates. That means that we can pay a significant amount of Schedule 22 in the future, but with the compound effect of the revenues when crystals, we will compensate, we will offset this amount of payments.
Silvia Ruiz: Next set of questions coming from Sathish Sivakumar from Citi. First question, can you comment what percentage of contracts in the construction segment are still on 2019 to 2022 pricing?
Iñaki Garcia-Bilbao: Yes, thank you for the question. All our contracts are with current prices. I mean, the value of the contracts are updated with the current cost. In terms of the sale, in some contracts that there is intersection of prices, it has also been updated so we can say that all the contracts are carbon prices. Thank you.
Silvia Ruiz: Next question from Sathish also, what is the reason for increasing revenue per transaction of I-66? Do you expect it to continue to increase farther going forward?
Jose Velao: Hi, Sathish. This is Jose Velao again from Cintra. The main reason here is that the asset is ramping up and we are seeing a good value for money in peak hours for customers and that is good for our revenue as well.
Silvia Ruiz: Next set of questions coming from Marcin Wojtal from Bank of America. First question. Do you anticipate the 407 ETR to distribute another dividend before the end of calendar year 2023?
Jose Velao: After the additional distribution approved in October by the board, we reach a level of CAD950 million. I think it's a good level of dividend for this year. Thanks for the good performance of the asset. It's not likely to see an additional dividend during this year.
Silvia Ruiz: Next question for Marcin also, can you comment if the I-66 is so far performing in line or above your internal forecast?
Ernesto López Mozo: Hi, Marcin. The I-66 is performing quite well according to our expectations and continuing, as I said, ramping up. The corridor volumes have already reached preconstruction and some segments are above preconstruction levels. And customers, as I said, are experiencing unattractive time savings during peak hours and we are seeing a high – a really good performance of heavy vehicles as well. So perspectives are quite good.
Silvia Ruiz: Next question from Martin. Do you expect Heathrow to distribute dividends to its ultimate shareholders in 2024?
Laura López: Hi, Martin. Here Laura López, CFO, Ferrovial Airports. Heathrow in last week call stated that they don’t expect dividends in 2023. So no further comments here. What is important is to highlight that the asset has the leverage more than expected. And at the end of the day, operational performance will be key for dividends. As Ernesto mentioned before, their performance is being remarkable. Thank you.
Silvia Ruiz: Next set of questions coming from Elodie Rall from JPMorgan. First question, what is the minus CAD18 million reported on others on the EBITDA line please.
Ernesto López Mozo: Hi Elodie. Probably it’s not minus CAD18 million it’s another figure but I mean in the others we have the costs from the restructuring transaction and the listing in the U.S. So you have all these sort of fees that goes from the advisors auditing of PCAOB accounts, lawyers for 20-F. So you have all that main impact over there.
Silvia Ruiz: Next question from Elodie. Do you have an update on the timing of the U.S. listing? What are the main considerations? And also on timing of your upcoming Capital Markets Day?
Ernesto López Mozo: Hi. Well, we commented before, right, that timing is probably more likely to have a U.S. listing in the first quarter of the year, but I mean, we cannot be more precise given that it’s SEC’s prerogative. And well the Capital Markets Day, the one we have visibility will be announced. We’re looking forward to it.
Silvia Ruiz: And last question from Elodie. If you maintain a listing in Madrid, do you expect to get sufficient liquidity in the U.S. line to move the primary listing to the U.S.? Or you think the U.S. will be a secondary listing most likely?
Ernesto López Mozo: Thanks, Elodie. Well, the U.S. initially will – is expected to be a secondary listing, but the idea here is that given that our business is in the U.S., we lack U.S. investors and we have so much growth ahead is that it will become more and more relevant. So I mean, it would be natural to have more weight in the U.S. in the long-term. But initially, we shouldn’t expect that to happen.
Silvia Ruiz: Next set of questions coming from Jose Manuel Arroyas from Santander. First question on 407 ETR. Can you please outline the main factors that matter in defining the dividends that 407 ETR Campaign 2024, and in particular, the interplay of debt maturities, liquidity and the ability to issue new bonds?
Jose Velao: Hi, Jose Manuel. Of course, the main factor is the performance of the asset, the traffic performance, the revenue is the main factor of the 407 ETR. Of course that we need to deal with other stakeholders like rating agencies, and that means that we need to solve them. How strong is the performance of the asset? Yes, to ask for additional debt or negotiate with them the liquidity at the end of the year. But it’s part of the normal cause of the business. But this is the main factors. These are the main factors.
Silvia Ruiz: Next question from Jose Manuel also. On construction, can you provide an update on cash outflows from construction in full year 2023? Have your expectations changed relative to the first half when you hinted that outflows of CAD120 million to CAD150 million could be possible?
Iñaki Garcia-Bilbao: Yeah. Thank you, Jose Manuel. Well, as you have seen in September, the working capital in construction has been minus CAD193 million. As you know, in the last quarter of the year is when usually we have advanced payments from certain clients, particularly in Budimex and specific contracts. So, yeah, we can keep this forecast of cash consumption in working capital of between CAD120 million and CAD150 million.
Silvia Ruiz: Next set of questions coming from Pierre Rousseau from Barclays. Heathrow. What’s the plan to adapt to the new pricing environment?
Laura López: Hi, Laura again. Currently Heathrow is working in the update of the business plans. In December they will show more detail updated in the Investor Report as they have announced in last week call. Thank you.
Silvia Ruiz: Next question from Pierre. US$1 billion of orders in the U.S. announced in September. Are they risky projects? What is the margin outlook? Is it instrumental to get to your construction margin target?
Iñaki Garcia-Bilbao: Thank you. Thank you, Pierre. Well, as previously mentioned, our backlog in this moment, once we finish, the current price in the U.S. is quite healthy. I mean, with potential cash inflation and the bid was in a better situation with knowing the impacts of inflation, COVID, et cetera and prices of the materials. So we expect profitability on those. But remember that they are in earlier stages, like Ontario or some others, and probably the margin will be shown more in the – as the projects progress.
Silvia Ruiz: Last question from Pierre. You mentioned performance for I-66 and I-77 compared well with your most ambitious expectations. Could you share them?
Jose Velao: Hi, Pierre. And we cannot share with you future projections, so sorry for that. But I agree with you that the I-66 and I-77 are having a really good performance.
Silvia Ruiz: Next set of questions coming from Augustin Cendre from Stifel. First question, LBJ. Could you please elaborate on the LBJ traffic recovery in context of work-from-home trends and the ongoing works? Do you have any visibility on the timing of a recovery?
Jose Velao: Hi [indiscernible]. Yes, I can give you – sorry, Augustine, thank you for your question. Yes, I can elaborate. The LBJ is performing quite well. The general mobility and the congestion is improving in the area. Thank you for – in part for this recovery in the presence in the office and the economic growth of the area and the corridor. I think that LBJ performing is in the right direction. And the only issue that we can see in the traffic mobility in the area is the 635 East construction works. That is expected to end at the beginning of 2025. But LBJ, as a conclusion, I can say that is performing quite well.
Silvia Ruiz: Next question from Augustin. Ferrovial Construction, I understand that the end of the I-285 project has been delayed to the first quarter of 2024 from the third quarter from 2023, and that discussions regarding the I-66 contract are still ongoing. Should we then expect further losses from the Ferrovial Construction division, or is it mostly behind us?
Ernesto López Mozo: Thank you, Augustin. Well, substantial completion of the I-285 project is going to be in this year. I mean, probably there will be some further works. But they’re small in terms of punch-list and other small things. But substantial will be in Q3, sorry in Q4 2023. Regarding losses I mean as of September, we have considered all the potential losses that we can have in this contract. So in terms of this particular province, yes, I think that the worst is behind us, and now it’s time I mean for the – we are in both in mediation processes I mean with the clients. So we expect that there should be recovery on claims. Thank you.
Silvia Ruiz: Next set of questions coming from Graham Hunt from Jefferies. First question for the I-77, can you talk about the developments you are seeing around the corridor, which is supporting such strong volume and price growth from the corridor?
Jose Velao: Hi, Graham. Thank you for your question. This is Jose Velao from Cintra. What we are seeing in the area is that it’s very attractive and is attracting a lot of new employment and the population is growing as well. And we think that the trend will continue in the future. We have to take into account that there is not a real alternative and this is part of the reason that has this volume – strong volume. Thank you.
Silvia Ruiz: Next question from Jefferies also for the A-66, can you provide any more color on how the consumer is responding to the ramp up of pricing? And did you see a meaningful change in heavy vehicle contribution in the third quarter versus the second one?
Jose Velao: Yes, what I can say here is that there’s good safe travel times during peak hours and this value is attracting users to use our highway. And at the same time, the traffic – the heavy traffic vehicles are having a good behavior during this quarter. So both factors are impulsing our revenue.
Silvia Ruiz: Last question from Graham for NTO. What percentage of NTO capacity is now covered by airlines agreements and have there been any discussions with retail partners for the commercial operation?
Laura López: Hi, Graham. Thanks for the question. Out of the 2027 traffic around 25% is committed with current international carriers contract, Air France, LOT, KLM, Etihad and Korean. In relation with the retail NTO commercial program is managed by URW through a master concession agreement. URW is progressing along with NTO with the definition of the program launching the procurement process during next year. Thank you.
Silvia Ruiz: Next set of questions coming from Nicolas Mora from Morgan Stanley. First question, can you help us understand the traffic performance on NTE 35 West, underlying it’s up only 5% despite end of construction disruption. Why is traffic failing to recover against a very disrupted third quarter 2022 basis? Are you charging the same price per mile on the segment 3C that rest of the segments A and B?
Ernesto López Mozo: Nicolas, thank you for your question. First, I don’t think that is underperforming. You have to take into account that after a long period of construction disruption in the corridor, there’s some ramp up here and there’s still being some construction works in the U.S. 175 connector that is affecting to the general mobility as well in the corridor. So I think that things are going are progressing well in terms of traffic performance in the three segment A, B and the segment C. And the segment C we are seeing a strong ramp up. And in terms of tariff, toll rates, the segment 3C is in line with the toll rates of A, B.
Silvia Ruiz: Next question from Nicolas Mora, also on the U.S. Managed Lanes overall, are you starting to see some fatigue from the U.S. consumer?
Ernesto López Mozo: No. Nicolas, the answer is no. I think there is a lot of value that the users are evaluating and we see that in different polls that we are sending to our customers and we don’t see any fatigue from our U.S. consumer.
Silvia Ruiz: Okay. Another set of questions from Stifel, Tobias Woerner. First question, the buyback of the hybrid bond has reduced your NCP quite markedly. Are you comfortable with this level of cash? If not, what are you going to do about this?
Ernesto López Mozo: Yes. Hi Tobias. Yes, we are comfortable with the level of cash. Actually, cash should be used to earn double digit returns or return to shareholders, right. So, I mean, we’ve been holding cash looking for opportunities. We are in a very comfortable position. So there’s no need to raise any additional hybrid or to look for new cash.
Silvia Ruiz: Next question from Tobias also. Given the CMA decision, have you changed your attitude to your stake in Heathrow? If so, would you consider selling it?
Ernesto López Mozo: Well, thanks. Well, Heathrow, I guess that the answer is like any other asset in the portfolio. I mean, we are open to different alternatives as with any other in the portfolio. So if an opportunity keeps knocking on our door, we will look at it on financial merits. Thank you.
Silvia Ruiz: And last question from Tobias. Can you give us a bit of color on the progress seen at NTO and what this mean in terms of timing of the development of this asset, please?
Laura López: Hi, Tobias. I was really happy to share the progress in NTO. The project is in good progress, showing in the third quarter truly visible advance. But still of the forefront of the terminal has been erected with the first steel [indiscernible] demolition is almost completed and the air train enclosure is well advanced, targeting to be open very soon by Thanksgiving. The design phase is 97% achieved. There’s really good progress if you have in mind that we are in a complex context of fully redevelopment of JFK with interferences service effectors from all the work that are being performed at the same time in different terminals. Though there are effective mitigation plan in collaboration with the Port Authority [ph] and we are confident in the satisfactory delivery of the project. Thank you.
Silvia Ruiz: Okay. So it seems that there are no further questions.
Ernesto López Mozo: So thanks, Silvia, and thank you everyone. I mean, we’re looking forward to what’s coming up and the potential U.S. listing and the Capital Markets Day. So hope to see you soon guys. Thank you. Bye now.